Lauren Morris: Good day, ladies and gentlemen. And welcome to the Medpace Holdings, Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. At this time, participants are in a listen-only mode. After the speakers' remarks, there will be a question and answer session. If your question has been answered or you would like to remove yourself from the queue, simply press star 11 again. As a reminder, this call is being recorded. I would now like to introduce your host for today's conference call, Lauren Morris, Medpace Holdings, Inc.'s Director of Investor Relations. You may begin. Good morning.
Lauren Morris: And thank you for joining Medpace Holdings, Inc.'s fourth quarter and full year 2025 earnings conference call. Also on the call today is our CEO, August Troendle, our President, Jesse Geiger, and our CFO, Kevin Brady. Before we begin, I would like to remind you that our remarks and responses to your questions during this teleconference may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements involve inherent assumptions with known and unknown risks and uncertainties as well as other important factors that could cause actual results to differ materially from our current expectations. These factors are discussed in our Form 10-K and other filings with the SEC. Please note that we assume no obligation to update forward-looking statements even if estimates change. Accordingly, you should not rely on any of today's forward-looking statements as representing our views as of any date after today. During this call, we will also be referring to certain non-GAAP financial measures. These non-GAAP measures are not superior or replacements for the comparable GAAP measure. But we believe these measures help investors gain a more complete understanding of results. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP measures is available in the earnings press release and earnings call presentation slides provided in connection with today's call. The slides are available in the Investor Relations section of our website at investor.medpace.com. With that, I would now like to turn the call over to August Troendle.
August Troendle: Good day, everyone. Cancellations were elevated again in Q4. Backlog cancellations in absolute and percent terms were the highest they have been in over a year. This resulted in a lower than anticipated net book-to-bill ratio of 1.04. The good news is that with a backlog conversion rate of 23.6%, our book-to-bill rate does not need to be very high to generate growth. I see no reason to expect the higher level of cancellations to continue but did not anticipate the spike in Q4. Only time will tell. Good opportunities continue to present themselves and I rate the overall business environment as adequate and headed in the right direction. Jesse will now make some comments on Q4 and the year. Jesse?
Jesse Geiger: Thank you, August. Good morning, everyone. Revenue in 2025 was $708.5 million, which represents a year-over-year increase of 32%, and full year 2025 revenue was $2.53 billion, a 20% increase from 2024. Net new business awards and backlog in the fourth quarter increased 39.1% from the prior year to $736.6 million, resulting in a 1.04 net book-to-bill. For the full year 2025, net new business awards were $2.65 billion, an increase of 18.7%. Ending backlog as of December 31, 2025, was approximately $3 billion, an increase of 4.3% from the prior year. We project that approximately $1.9 billion of backlog will convert to revenue in the next twelve months. And our backlog conversion rate in the fourth quarter was 23.6% of beginning backlog. With that, I will turn the call over to Kevin to review our financial performance in more detail and discuss our 2026 guidance. Kevin?
Kevin Brady: Thank you, Jesse, and good morning to everyone listening in. As Jesse mentioned, revenue was $708.5 million in 2025. This represented a year-over-year increase of 32%. Full year 2025 revenue was $2.53 billion and increased 20% from 2024. EBITDA of $160.2 million increased 20% compared to $133.5 million in 2024. Full year EBITDA was $557.7 million, an increase of 16.1% from the comparable prior year period. EBITDA margin for the fourth quarter was 22.6%, compared to 24.9% in the prior year period. Full year EBITDA margin was 22% compared to 22.8% in the prior year. EBITDA margins were impacted by higher reimbursable cost activity driven by therapeutic mix. In 2025, net income of $135.1 million increased 15.5% compared to net income of $117 million in the prior year period. For full year 2025, net income was $451.1 million compared to $404 million in 2024, which represents an 11.6% increase. Net income growth below EBITDA growth was primarily driven by lower interest income compared to the prior year period, as well as a slightly higher effective tax rate. Net income per diluted share for the quarter was $4.67, compared to $3.67 in the prior year period. For the full year 2025, net income per diluted share was $15.28 compared to net income per diluted share of $12.63 in 2024. Regarding customer concentration, our top five and top ten customers represent roughly 25% and 35%, respectively, of our full year 2025 revenue. In the fourth quarter, we generated $192.7 million in cash from operating activities, and our net days sales outstanding was negative 58.7 days. As of December 31, 2025, we had $497 million in cash. For full year 2025, we repurchased 2.96 million shares for $912.9 million. At the end of the year, we had $821.7 million remaining under our share repurchase authorization program. Moving now to our guidance for 2026. Full year 2026 total revenue is expected in the range of $2.755 billion to $2.855 billion, which represents growth of 8.9% to 12.8% over 2025 total revenue of $2.53 billion. Our 2026 EBITDA is expected in the range of $605 million to $635 million, representing growth of 8.5% to 13.9% compared to EBITDA of $557.7 million in 2025. We forecast 2026 net income in the range of $487 million to $511 million. This guidance assumes a full year 2026 effective tax rate of 18.5% to 19.5%, interest income of $24.3 million, and 29.2 million in diluted weighted average shares outstanding for 2026. There are no additional share repurchases in our guidance. Earnings per diluted share is expected to be in the range of $16.68 to $17.50. Guidance is based on foreign exchange rates as of December 31, 2025. With that, I will turn the call back over to the operator so we can take your questions.
Operator: Thank you. As a reminder, to ask a question, please press 11 on your telephone and wait for your name to be announced. In fairness to all, we ask that you please limit yourselves to one question and one follow-up. One moment while we compile our Q&A roster. Our first question will come from the line of Max Smock with William Blair. Your line is open. Please go ahead.
Christine Raines: Hi. Great. It's Christine Raines on for Max Smock. Thanks for taking our questions. So the first one is, what is embedded in your guidance for revenue growth excluding pass-throughs? Last quarter, I believe you alluded to high single-digit to low double-digit direct fee revenue growth in 2026. But wondering if your growth expectations for this component are now higher given your strong EBITDA guide and also what you expect the cadence of this revenue growth to look like?
Kevin Brady: Yeah. Hi, Christine. This is Kevin. We do not provide guidance on direct service revenue. What I can tell you, though, is that from a reimbursable cost expectation, it's consistent with what we shared back in October and that we expect it to be in the 41% to 42% of revenue in 2026. So slightly higher than what we finished here this year. From a cadence standpoint, nothing I would call out in particular. I would say in terms of revenue, I do expect that reimbursable costs will start the year higher as a percentage of revenue than when we end the year. And so that being said, I do expect maybe some flatter top-line growth throughout the quarters than what we have experienced in past years.
Christine Raines: Great. That was really helpful context. Then I noticed the acceleration in headcount growth in the quarter. What do you expect headcount growth to be in 2026? Should we expect this mid-single-digit growth cadence to continue, or will you need an acceleration in hiring to support your 2026 outlook? Thanks.
Jesse Geiger: Hi. It's Jesse. We do expect accelerated growth. We anticipate hiring in 2026 to be above 2025 levels, somewhere in the mid to high single-digit growth area.
Christine Raines: Great. Thank you so much.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Justin Bowers with Deutsche Bank. Your line is open. Please go ahead.
Justin Bowers: Hi. Good morning, everyone. Just was hoping you could sort of unpack the business environment and the commentary in the prepared remarks. Like, are you quantifying RFP activity or win rates? And then also, there seemed to be a pretty good funding quarter in the funding environment in the quarter as well. So can you just help us understand that?
August Troendle: The business environment was, as I said, reasonably good. RFPs, if they matter, were up a bit, both quarter over quarter and year over year. But I do not think there's anything really to call out beyond that. It was a higher cancellation rate that led us to miss. Our gross bookings have again been substantially better than last year, and I think doing fine overall.
Justin Bowers: Okay. Is there any way to help us understand if the cancellations were normal, what the net bookings would be, and then with those cancellations, could you help characterize those a bit more? Was it in any therapeutic area, or customer area, vintage?
August Troendle: No. Cancellations were a little bit skewed towards the metabolic area. It's been growing quite a bit, so there were a higher level of cancellations there. Overall, bookings have continued to be, you know, oncology is our strongest. Metabolic is still there, but there were some elevated cancellations. So it was kind of otherwise relatively normal. I do not have a, you know, we're not providing what the booking would have been. We do not give gross bookings. We're just netting them out, but the kind of directional magnitude of cancellations. But they would have been substantially higher if we had cancellations in a nice range.
Justin Bowers: Okay. Thank you. I will jump back in the queue.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Ann Hynes with Mizuho Securities. Your line is open. Please go ahead.
Ann Hynes: Thank you. I just want to ask some more questions on just the cancellations. Can you remind us what your historical range is and maybe what it was this quarter versus maybe the height that you saw in 2024 and early 2025? And again, I think the past few quarters, cancellations have been very stable. Is this driven by, like, maybe the competitive environment? M&A? Is it widespread, or is it just maybe one big client canceling something? So any more details would be great.
August Troendle: Sure. No. It's widespread. There was no single or couple of very large projects that canceled. It was just a higher level of cancellations overall. Comparable to the past year, it was the highest level of cancellations out of backlog. If you combine backlog and kind of our entire portfolio, I think Q1 was a little bit worse because we had such a high cancellation among projects that had been awarded but were not yet recognized in backlog. But it was a high level overall, and again, pretty widespread. I do not know the, and I have no, there's no pattern to it. It was just kind of the usual random stuff that was very heavily concentrated.
Ann Hynes: And then your revenue growth, maybe what are you assuming just cancellation trends for the remainder of the year? And I know burn rate was very strong. Maybe what's the driver of that? And what are you assuming in guidance for the rest of the year for burn rate?
August Troendle: We do not guide the burn rate.
Kevin Brady: Right. Kevin, you want to say something?
Kevin Brady: Yeah. No. To August's point, we do not guide to a burn rate. It's just not something that we do.
Ann Hynes: Alright. Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of David Windley with Jefferies. Your line is open. Please go ahead.
David Windley: Hi, good morning. Thanks for taking my questions. August, I wanted to kind of philosophically ask around therapeutic area concentration. You mentioned oncology being very strong and metabolic right behind it. And as people have seen and you've highlighted, metabolic has been on this very steep growth ramp. I guess, to me, the difference between those two areas is, like, oncology is spread across tens, if not hundreds, of different kind of micro indications, and metabolic seems to be very concentrated in diabetes and obesity. And so I wondered how you think about the concentration risk in metabolic and the crowding and the potential for cancellations like you apparently just saw because people say, you know, don't have enough differentiation.
August Troendle: Yeah. And, you know, another big area is NASH. And there are a few others that, you know, for us are meaningful. But, yeah, it is, you know, of late heavily kind of toward the obesity, diabetes area specifically. I do not think we're at a level of overconcentration that, you know, that's a big worry. It will be decreasing as a percent of our revenue next year, I think. So I think it's going to kind of somewhat normalize, you know, head towards a more normal range, but I do not really see that as a big risk for us at this time. Does that answer your question, Dave?
David Windley: I think it does. Yeah. I think it does. Thanks. I guess in exploring the pass-throughs, I think I understand that these metabolic trials carry relatively high pass-throughs. And so it seems to track that your rapid growth in metabolic has also then contributed to the rapid growth in pass-throughs as a percentage of revenue. And I think Kevin kind of referenced this. And maybe, you know, the cancellation in Metabolic is also what makes that moderate as you go through the year. Is that right?
August Troendle: Yeah. Exactly. That's right. I mean, in terms of, you know, pass-throughs, have been driven largely by our metabolic programs. And, you know, we do expect them to, you know, start to normalize in this next year. And it does provide a headwind overall revenue growth, but it'll be more direct revenue, I guess. Which is fine. So, yeah, I think that's correct.
David Windley: Got it. And if I could just sneak one clarification on this end. To what extent, you know, like, pass-throughs have outstripped your expectations in 2025. To what extent is that underlying, like, site level inflation and things like that that you're having to rebudget and add, and therefore, those adjustments are kind of going directly into backlog and right into revenue and kind of the pass-through outstripping is what's driving this higher burn rate. How much would you attribute to that?
August Troendle: Almost none. You know, I think this is not an issue of, you know, sites changing, getting more, you know, these were known to be very high pass-through projects, you know, going in. You know, they're just the design of the project is just very heavy on investigator fees. And, you know, I think, you know, the characteristics of the, you know, stage of the project and, you know, what is burning overall in our backlog does cause our conversion rate to shift around quite a bit. As we get other projects that don't have as much, you know, relatively short duration, high, you know, burn that are being added, you know, have been awarded, you know, quarter to quarter. But it's not, I think, just the addition of pass-throughs. You know? It's the study itself. You know? Yeah. Has been opened up. You know? And there were some, you know, issues with, you know, recognizing it in backlog because of uncertainty of the program stuff. Those relatively short-term programs come on, okay, you got to get awards and they burn rather quickly. You know, I think that will normalize over time, and it is driven partly by the metabolic studies that we have. But not specifically because of a, you know, a change in the expectation, sites.
David Windley: Okay. Thank you. Appreciate to ask your question. Thanks.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Charles Rhyee with TD Cowen. Your line is open. Please go ahead.
Charles Rhyee: Yes. Thanks for taking the question. Maybe just two clarifications if I could. Kevin, you mentioned earlier that you expect pass-through revenues to be higher at the start of the year than at the end of the year. Does that suggest that you expect a lower metabolic mix as you exit '26? And then second question being, and maybe just a little bit of follow-up to David's question, the way I understand how you think about what goes into backlog versus when you talk about stuff getting canceled out of pre-backlog. So cancellations were broad-based but elevated. Were these cancellations less about funding and maybe more from either trials failing or decisions by sponsors to abandon programs?
Kevin Brady: Maybe I'll take your first question, Charles, just in terms of, you know, reimbursables, and, you know, I do expect it to start the year higher. So, yeah, to August's comments, we do expect some of that metabolic shift to slow down a little bit. I wouldn't say it's materially so, but we do expect it to slow down a little bit. What was your second question, Charles?
Charles Rhyee: Oh, yeah. It's just trying to understand, you know, you've talked about backlog versus pre-backlog. And my understanding was that pre-backlog cancellations is, you know, perhaps more of a funding issue. If something's canceling out of backlog itself, that's probably more of a, is that more of an issue that other trial may be, you know, wasn't successful or, you know, or sponsors actually decide to abandon a program.
August Troendle: Yeah. I mean, that's the case. You know, things that, you know, start up, they restructure. They change. They decide to end study early. So there were a number of studies that ended early because of compound performance. So, yeah. I don't, but I don't think there was, there was no, like, pattern, and it wasn't just one or two very large projects.
Charles Rhyee: Okay. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Sean Dodge with BMO Capital Markets. Your line is open. Please go ahead.
Sean Dodge: Maybe just on guidance. If you could help us with some of the margin puts and takes. At the midpoint, you have about 10 basis points of margin expansion for the year, and that's despite I know you all said accelerating hiring for the year, maybe a bit higher percentage. For the year of pass-throughs. How much pressure do you expect those to create? And then the offsets, is it just predominantly more productivity gains you can drive? And then where are those productivity gains expected to come from? Is technology, offshoring, something else?
Kevin Brady: Yeah. Just and maybe just in terms of, you know, our guidance range, you know, kind of at the midpoint, it assumes kind of normal cancellation rates. As Jesse mentioned, from a hiring perspective, we expect to be in the mid to high single digits, which is lower than the expectation on revenue growth. And so what's driving that is just, you know, continued expectation that we continue to see good retention throughout 2026, which enables the productivity that we've seen, you know, throughout 2025 and exiting 2024. So it enables us to hire higher but at a slower rate. So it's not that I would say that we've got major cost savings initiatives that are out there or certainly not planning on restructuring. We always look for ways to operate in a more efficient way. And so that contributes to some of that margin improvement around the edges. But by and large, it's going to be driven by just slower hiring ability on good retention.
August Troendle: And, you know, utilization overall. You know, we also have laboratory operations, which are not huge, but, you know, utilization lab is up. You know, test. So, you know, it's across the board. We've had good productivity.
Sean Dodge: Okay. Thanks. And then maybe just one on AI since perceptions around that have had a pretty big impact on the space over the last week or so. Just maybe any thoughts you can share on, you know, how big of a technological step change you think this is for the space over the next few years? And then, you know, to what extent you think that's a longer-term net positive or negative for Medpace Holdings, Inc.? And, you know, how are you all positioning? Are you a little bit more insulated just given the, you know, the kind of the nature of your client base? How are you positioned for this? Are you investing around that?
August Troendle: Yeah. I'll address it a little bit. Look, I think it's too early to know what kind of changes. You know, I do think that they will occur slowly. I would not anticipate really any productivity advantage, you know, overall net advantage to AI applications in 2026. And I think that's not because we're not rolling out and doing a lot of things in AI. It's that I think the investment is going to at least equal the, you know, the benefits seen in, you know, in this first year of kind of, you know, rolling out applications. You know, where this goes in terms of, you know, how much productivity enhancement there is, you know, in the long term and what that means to us. I mean, I do think that, you know, the productivity advances are, you know, going to be to the benefit, you know, part is to be rent to the providers of the models, etcetera. But are going to be benefits to clients. And what that means in terms of encouraging more development, etcetera. But, you know, overall, you think on the surface of it, it's a net negative to, you know, a service company that, you know, makes money by providing, you know, staff to, you know, to perform work that is now, you know, made more efficient. But I think that, you know, the timing of this, it's going to take years. You know, just what that means, what the opportunities for us are, you know, are difficult to see. I don't really think we have, you know, you take barriers to prevent, you know, I mean, we're to use AI in a lot of applications. We hope it does improve our productivity. And that means potentially, in the long run, fewer staff need otherwise have. And that means a little bit less revenue than you would have otherwise had at least net revenue.
Sean Dodge: Okay. That's very helpful. Thanks again.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Jailendra Singh with Truist Securities. Your line is open. Please go ahead.
Jailendra Singh: So outside of the cancellation spike you guys called out, did you also see any slowdown in decision making or business moving from pre-backlog to backlog or within pre-backlog?
August Troendle: I'm sorry. Changes between pre-backlog and backlog? Yeah. Just in general in terms of decision making, like, are projects being getting delayed or, like, the way of moving from pre-backlog to backlog is that is the business still moving at the same pace outside of cancellation?
August Troendle: Yeah. Look. I think things are moving along pretty well. There isn't at least an incremental, you know, sudden change in, you know, the progression of product. Nothing's seizing up or anything like that. So I think things are relatively normal. You always have cases where some things are held or slowed down for whatever reasons, drug availability, some they're waiting on results or something. There's always reasons why things can progress in the backlog slower than anticipated. They can change the design of the trial. You have to then rework things you get it launched. But I don't see any real trend there. In terms of in the past, sometimes we've seen because of funding a seize up in a lot of things that and prevents them from moving forward. We're not seeing that at this time.
Jailendra Singh: Okay. And then my follow-up, just in general, about the competitive landscape as you guys have called out about, like, top three CROs kind of getting more aggressive in the market. Have you seen them kind of continuing to be aggressive in terms of broadening their focus within biotech or in terms of price? Has that had any impact on your win rate? Just give us a little bit more flavor about the landscape in general with these top players getting the space.
August Troendle: Yeah. I don't think there's anything to say there. I mean, you know, I know they're more aggressively interested in the space because they say they are. But they've been involved in the space all along, and I don't really see a large change in the dynamic. So it's hard for me to know. I do not perceive a difference, see the same competitors in the space, and it seems to be the same as it was, you know, five years ago.
Jailendra Singh: Got it. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Dan Leonard with UBS. Your line is open. Please go ahead.
Dan Leonard: Thank you very much. My first question, it looked like from your disclosure that you had a pretty good quarter in large pharma revenue growth. Was there anything unusual to call out there? And would that be sustainable?
Kevin Brady: Yes, Dan. Nothing to really call out. I think it might have changed the percentage point, but nothing to call out there. It's not a focus. Large pharma is not a focus for us.
Dan Leonard: Thank you. And a follow-up on that AI topic. August, you mentioned that 2026 is the first year you're rolling out applications. Can you elaborate on that comment? What are you rolling out this year and what do you anticipate, you know, what are you trying to accomplish?
August Troendle: Yeah. I don't think we're just gonna Jesse, do you want to comment on that?
Jesse Geiger: Yeah. I just say, in general, mean, fall into two categories. You know, one, just a number of different initiatives that are targeted on improving efficiency. You know, and that, you know, the blurry line between, like, what do you call AI improvement that's really, you know, tech-enabled support for different things across the organization that are focused in that category. And then the other category would be, you know, assisting with data analytics for feasibility. On-site selection and helping the team there with, you know, with some AI-enabled tech. That's where we're starting.
Dan Leonard: Thank you very much.
Operator: And one moment for our next question. Our next question will come from the line of Luke Sergott with Barclays. Your line is open. Please go ahead.
Luke Sergott: Great. Thanks for the question here. I just wanted to kind of follow-up on Dave and on the kind of the margin questions. So, you know, as we like, can you help us understand the near-term leverage that you have to pull as a project starts to ramp on? And what I really want to get at is, let's assume you get some type of booking, you know, a year ago, and your assumption is that, you know, these are the types of resources that you're going to need to execute this trial. And as that ramps, it starts to either come out that you can actually use less resources or more resources. I just want to understand, like, your flexibility to ramp here. And this is, I think, important as you think about the overall mix of the bookings and how this has changed from a burn rate and capacity needs as you go, you know, as metabolic and continue to gain share.
Kevin Brady: Yeah. I mean, in terms of our, you just remember that in terms of our business model, we like to hire heads because we are a training shop. We like to train and develop our people. And when you've got larger attrition rates, you're having to replace those individuals that are leaving plus onboard new people. And so what we've seen over the last year or so is that with improved retention rates, you're having to do less of that training. You're only training the ones that are coming in. And because of that, you're seeing, you know, more improved productivity because you're spending less time on training and development, and you've got more experienced individuals and staff that are on-site. So continue to operate under that business model of hiring ahead. And we'll continue to do that. But it's at levels that are less than what we had to do, you know, two years ago. So what you're seeing is that productivity and that improved utilization continue to play through for us.
Luke Sergott: Alright. Great. And then I guess from your performance obligations over the last, you know, that are over three years long have continued to kind of trend down here off of, like, your peaks of 2024. Obviously, there's most of this probably due to the faster burning business. But anything else going here is, like, is there a change in the duration of these trials or the type of work that's going on?
August Troendle: It certainly was a, you know, average change in the duration of our trials because we had this, you know, substantial ramp in metabolic trials, and a number of trials overall that were, but that kind of changes over time. I don't think there's a change in a particular class of trial. I just think it's a change in the mix of trials that we've had, you know, in the last few years, last year particularly. But I don't think there's a long-term trend in terms of trial duration changing for a given indication and, you know, stage of a trial.
Luke Sergott: Okay. Great. Thanks.
Operator: Thank you. And one moment for our next question. Our next question will come from the line of Michael Cherny with Leerink Partners. Your line is open. Please go ahead.
Dan Clark: Great. Thank you. This is Dan Clark on for Michael Cherny. Just wanted to ask about pricing. How did that look in your new awards in 4Q? And how are you thinking about that for 2026?
August Troendle: I don't think pricing is, you know, our pricing on net has changed materially over time. So I don't, you know, I don't think it should have an impact on margin. I think our margin is going to be maintained. I mean, given all the other factors, it's not going to be a driver of a margin change.
Dan Clark: Okay. Got it. And then just one more on AI. When you're talking to customers or involved in RFPs, what are they kind of focused on, if anything, from an AI angle? Thank you.
Justin Bowers: I think more, okay. Go ahead, Justin.
Jesse Geiger: I was gonna say it's a balanced conversation. Because we do take a very measured approach to AI. You know, we want to balance the benefits with risk management and ensure that, a, we have quality adoption, and b, that we're not putting any of their information at risk. And so the conversations are kind of twofold. One, you know, what are we doing with AI to help with their studies? And at the same time, how are we being good stewards of data to make sure that we continue with high quality and confidentiality.
Operator: Alright. Thank you. And one moment for our next question. Next question comes from the line of Jay Lewis with Baird. Your line is open. Please go ahead.
Jay Lewis: Hey, thanks. Appreciate the question. I was wondering if you could give us any more color on the new signings in the fourth quarter, that tranche of business that would have largely moved into your pre-backlog? And could you give any quantification on that pre-backlog and maybe how much it's up year over year or quarter over quarter?
August Troendle: Yes. We don't provide details on that. Q4 was a bit light on, as was the prior Q4, but we don't give, you know, exact magnitude on that.
Jay Lewis: Okay. And then could you speak to the impacts that you've seen from this accelerating M&A environment with large pharma buying your clients and any impacts that may have had on your revenue, your bookings, or your future revenue projections?
August Troendle: I'm sorry. What have a feedback?
Jay Lewis: Yeah. Accelerating M&A environment. With large pharma buying some of your clients.
August Troendle: Yes. It's obviously a potential. Our clients, a number of our clients have been purchased in the past year, they continue to be. But we have a pretty broad base of clients. So I don't anticipate that to be an issue. Generally, we don't lose the work that we're doing with the client. We generally lose the client long term, and we get incorporated into a large pharma. But generally not a short-term risk. But it happens not infrequently.
Jay Lewis: Good. Thank you.
Operator: Thank you. And I would now like to hand the conference back over to Lauren Morris for closing remarks.
Lauren Morris: Thank you for joining us on today's call and for your interest in Medpace Holdings, Inc. We look forward to speaking with you again on our first quarter 2026 earnings call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.